Operator: Good morning, ladies and gentlemen. Welcome to Sigma Lithium 2025 Second Quarter Earnings Conference Call. We would like to inform you that this event is being recorded. [Operator Instructions] There will be a replay for this call on the company's website. [Operator Instructions] I would now like to turn the call over to Anna Hartley, Vice President of Investor Relations. Please go ahead.
Anna Hartley: I'd like to welcome everyone to our conference call this morning. Joining me on the call today to discuss our second quarter results is Ana Cabral, CEO of Sigma; and Felipe Peres, CFO of Sigma, who will be available to answer questions during our Q&A session. Before we begin, I'd like to cover a few items. Our press release with our second quarter results was issued yesterday after market closing and the release, along with the corresponding documents, are available on our website. I'd like to remind you that some of the statements made on this call, such as any production guidance, expected company performance, the time of our projects and market conditions may be considered forward-looking statements. Please note the cautionary language of our forward-looking statements in our presentation and news release. I will now turn the call over to Ana.
Ana Cabral-Gardner: Thank you, Anna. I'd like to welcome the participants of this call who are new to the shareholder registry. I also want to express our gratitude to our long-standing shareholders for your support in our recent AGM. Sigma is the world's second largest independent lithium industrial mining producer. Our independence provide us with agility and responsiveness in a fast-changing global market. As a multinational company, we are the largest lithium pure-play producer listed in the United States. We own 100% of the fifth largest industrial mineral-producing complex in the world located in Brazil, a low-cost jurisdiction in a centuries-old mining region with very strict labor laws. More importantly, we enjoy excellent relationships with both of our host countries. Next September, we're celebrating 4 years of being listed in NASDAQ. In fact, NASDAQ helped establish Brazil Lithium Valley at Vale do Jequitinhonha and helped lift directly from poverty over 50% of the economically active population of one of the poorest regions in Brazil. So for those who are new to the company, I'm going to start the call by reiterating our competitive advantage and resilience. The resilience comes from operational excellence, low-cost production and unique commercial support from our clients. This quarter, we delivered production at a large scale, and we are on track to meet our guidance of 270,000 tonnes of lithium oxide concentrate, which is equivalent to approximately 40,000 tonnes of LCE. We achieved it by perfecting clean processing industrial technology, basically reaching 70% recovery at our Greentech industrial plant. Another source of our resilience is being one of the world's lowest cost producers. That allow us to navigate market down cycles and that also gives us commercial flexibility. for example, we achieved final sales in August now basically at $966 a tonne. I'm also very, very pleased to say that this August, we celebrated 2 years without accidents with lost time, also 2 years where we have had 0 fatalities. In fact, we have never had a fatality in our 14 years of existence. This company was incepted by a very disciplined group of long-term private equity investors that believed in the energy transition, and that left us with a DNA of financial discipline. We've been always focused on capital efficiency. This quarter, it has translated into a decrease of short-term debt of the magnitude of 16%. If you compare that with a year ago, we have decreased our short-term debt in 40%. Therefore, we are able to continue to execute on our expansion project. We have very diversified funding sources and we rely significantly on our clients. We have been awarded USD 100 million of subsidized government debt by BNDES. In parallel, we have ongoing negotiations of definitive agreements for offtake, long-term offtake, coupled with prepayments, and we will be talking about that in this presentation. So let me start by celebrating the most important milestone, the achievement that demonstrates the operational excellence of our team. We got to 2 years without accidents with lost time and 0 fatalities. Our utmost focus has been to send our team members back home safely to their families every single day. Sigma, in fact, became the very first company in the upstream EV supply chain to reach this record. We remained as top 2 in the ICMM rankings with a TIRFR of 1.92, amongst the lowest in the whole metals and mining industry. This is a direct result of our safety culture, engagement, continuous training of our workforce. Now we want to talk about the highlights of our second quarter of 2025. Three key highlights. We decreased costs, we maintained production scale and we deleveraged. In the quarter, we managed to lower our operating costs even further across the board. We maintained production cadence and continued to deleverage, overall decreasing our all-in cash costs, making us even more resilient. On costs, at plant gate, the costs were decreased by 4% year-on-year to $348 per tonne. The CIF cash cost for China ports, including royalties, has decreased by 14% to $442 per tonne. Our all-in sustaining costs dropped by 24% to $594 per tonne. That is a remarkably low number for a company with our environmental, social, safety and health records. On deleveraging, our short-term finance debt was reduced by 57% versus the second quarter of last year and by 15% versus the first quarter of this year. Our production cadence was maintained, so production increased 40% year-over-year, keeping us on track to achieve our full year '25 annualized guidance of 270,000 tonnes. On our next slide, we demonstrate that we continue to deliver strong production results and outperform our 2025 targets. We are comfortably on track to achieve our 2025 guidance of 270,000 tonnes per year. It's interesting to compare where we are versus where we were just a year ago. The numbers showcase how Sigma has progressed significantly to become a strategic player of the global EV supply chain. Our annualized sales are up 40% from the second quarter of last year. On the next slide, we demonstrate that we continue to focus on execution, delivering our operational performance on target. We sold approximately 40,350 tonnes, generating gross sales revenues of USD 21 million. The sales for the second quarter were calculated based on a very conservative average provisional price of $637 for SC6, which netted about $500 per tonne adjusted by grade at 5% approximately, which means this quarter, we had final and provisional price adjustments of approximately $5.5 million only. But more importantly, that preserved our ability to achieve higher realized prices in subsequent quarters. Basically, our commercial discipline led us to temporarily store 28,000 tonnes of product during the weeks with more intensive price volatility, ensuring that we maintained our pricing power. So we sold just a breakeven amount to cover our costs, so that we sold to the clients that agreed to our standardized provisional pricing contracts, again preserving our ability to achieve higher realized prices in subsequent quarters as it just happened. This week, for instance, some of our clients concluded their final resales at over $960 a tonne, which we expect to result in positive adjustments in the next quarter. So as we tightly manage our burn rate, we closed the quarter with USD 15 million in cash and approximately USD 16.8 million in accounts receivable, a relatively comfortable position for a company with low burn rate in a low-cost jurisdiction such as Brazil. Now we're going to talk about our Phase 2 update. As we've shown here, we continue to make progress in our Phase 2 expansion. However, we adopted a very disciplined phased approach this quarter, basically leveraging upon our existing operational teams, operational infrastructure in order to expedite construction. We refocused our CapEx on tackling aspects of that expansion where we could immediately benefit from the deployment of the CapEx, for example, by lowering our operating costs such as widening the geometry of Mine 1 in order to prepare it for delivering volume expansions for 2 plants at 1 point next year. On the next slide, we demonstrate this focus and the widening of mine geometry that we've been achieving in order to potentially feed 2 Greentech lithium processing plants in 2026. Now we're going to talk about our financial highlights. We demonstrate with these 3 blocks of charts how we have managed to further decrease our costs. Our costs were the second lowest costs globally and we further decreased significantly, so we consolidated our cost leadership. We are unmatched in our industry for a company of our scale. Therefore, we plan to immediately benefit from any recoveries in lithium prices because they will become excess returns. Our plant gate costs are stable. We decreased them a bit further. They stabilized at $348 per tonne. Our CIF Asia or China cash costs, including royalties, are at $442 per tonne. We lowered them 14% if compared to last year. Our all-in sustaining costs are at $594 per tonne. We decreased that in 24% if compared to a year ago. That's a significant reduction. On the next page, we break down our all-in sustaining costs. They remain better than our own targets, supporting our ability to weather and navigate the lithium price cycles. As you can see, one of the main elements of that cost is financial expenses and what we call non-cost of goods sold expenses, out of which we have SG&A and environmental and social. Both of them continues to be -- continue to be the target of our cost reduction initiatives, mainly interest expenses, which are bound to decrease as we deleverage and receive larger portions of government subsidized debt for our expansion. On our next page, we show how the provisional price strategy underpins upside and risk sharing relationships with our clients. In other words, by taking in contracts with provisional pricing, we are actually boding the company, positioning the company for lithium market price recoveries because we have a share in the upside of the market as it just happened. For example, we've had provisional price sales at $630 SC6, and we just achieved the final price resale through one of our clients at $960 SC6. On the page, we show then the differences between gross sales revenues reported and net sales revenues reported, which are basically final and provisional price adjustments. If we compare to year-to-date or if we show year-to-date, we demonstrate that we're tightening the difference between final and provisional price adjustments. But nevertheless, they are a key feature of our commercial strategy because they provide us with the ability to share in the upside on the cyclicality of lithium prices. On this next page, we have a chart that clearly illustrates that phenomenon, and it dates back to the fourth quarter of last year. In green, you can see the final price of resales by our clients. In red, you can see the provisional price at which we sold to our clients. The difference becomes upside or downside. But as lithium price cycles are now clearly mapped out and we have worked in partnership with our clients, we are able to time quite well the way we navigate lithium price seasonality. And again, we highlight the final resale by one of our clients at $966 on a contract that is provisionally priced in our current financial statements at $630. So it positions us to receive a positive price adjustment in the next quarter -- in the current third quarter. On the next slide, we demonstrate the immediate consequence of this commercial strength and our ability to rely on our diversified clients for working capital financing. We have an array of clients that are willing to finance us, therefore enabling us to deleverage by decreasing more expensive trade finance facilities. We do so, though, at a pace because we want to maintain liquidity and financial discipline. For instance, we paid down $8 million of short-term trade finance debt in the second quarter, and we paid down an additional $4 million in August. So if you compare over the last year, we have decreased our short-term trade finance facilities by 42% basically by relying on our clients. In the third quarter, we further decreased our short-term debt facilities by another 10% to USD 39 million. So when you compare the first quarter of this year to today, we have decreased our short-term trade finance debt by 24%, a clear sign of deleveraging. This is one of the key reasons why we have remained resilient on an all-in cash cost basis because our interest cost per tonne has been steady at 9%, but we have decreased the overall amount of trade finance balance. So the steadiness of our interest cost per tonne reflects also the stability of our creditworthiness that we've established by relying on our best diversified global clients who have a very strong balance sheet. On the next slide, we talk about our offtake strategies. We have a very geographically diversified offtake strategy and we have about 3 different counterpart categories. We're going to continue to deleverage as a result of these. Essentially, coupling offtake agreements with prepayments are a demonstration of the commercial strength and high quality of our lithium oxide materials. We're currently actively engaged in negotiating 3- to 4-year offtake agreements with some of our clients within these 3 main categories across different geographies. Now in terms of the value of these agreements, illustratively, we can say that at today's prices, each 80,000 tonnes for a 3-year offtake brings a potential prepayment value of USD 100 million. These contracts don't lock in prices. This is just an advancement of future revenues. Our strategy is to maintain operational resilience by executing this offtake agreement strategy coupled with prepayment as geographically diverse as possible with 3 different counterpart categories, basically Western trading companies, Asian trading companies, corporations and users. This page shows the cash flow bridge for the second quarter, and it demonstrates how the financial discipline of our long-term private equity investors has translated into the resilience and ability of this company to navigate lithium price cycles by focusing on burn rate and generating operational cash flow. For example, at the beginning of the quarter -- from the beginning of the quarter to the end of the quarter, our cash balance declined by $16 million, but it increased subsequently by $10 million upon collection of receivables from clients. This is a result of the typical cutoff dates for the quarter. The pro forma cash generated from operations was $9 million or $4 million after covering SG&A despite the market environment and despite our decision to warehouse some of our production. This reduction was primarily driven by operational costs and expenses and the deleveraging from trade finance lines. So even in the current market conditions, even though we sold part of our production, we were still able to cover our costs and expenses and the leverage from trade finance lines. More importantly, we continued our expansion but we reduced CapEx in the second quarter to just $3 million because we managed the expansion to focus on the elements of Phase 2 that would help us prepare for the next up cycle, for instance, widening mine geometry, which has the potential of further lowering the costs. So this page demonstrates how we are very well prepared for the next up cycle. The following page, we show our reported cash costs. Basically, we're starting to benefit from the economies of scale as production volumes increase and stabilize. Stable plant gate costs, efficient freight shipping negotiations, efficient port long-term contracts and operations and lower CIF China costs drove this performance. Now we're going to our conclusions. We would like to wrap up this presentation by showing you a global lithium cost curve. This page is from Benchmark Minerals, and it shows the global cost curve of hard rock lithium producers, meaning producers of industrial lithium oxide sourced from mining. Sigma remains positioned at the very bottom of the global hard rock lithium cost curve. Our lithium processing plant has reached 70% recoveries at plant level. We have now efficient mine operations, and therefore, we're driving this cost leadership in the industry but we are not compromising sustainability or health and safety commitments to our teams. So we continue to deliver on the holy trinity of lithium materials production, large scale, low cost, traceability and ethical production with extremely high Westernized safety and health standards. This page underscores how we are well positioned for the turn of the lithium price cycle. We're the only company that has lower costs than African miners, industrial or artisanal. They're here shown in pink just to our right. The only other lithium player that has lower cost than Sigma is Talison, which has 5x our scale. On this page, we have outlined our platform for continuous expansion and continuous growth. We're certainly going to cement our global leadership in the lithium industry. As we look ahead, we are very, very enthusiastic about the magnitude of the opportunity emerging across our industrial platform in our industrial mineral complex in Brazil. We have access to capital from various sources: our government in Brazil, our global offtake clients, the U.S. debt capital markets and the global capital markets. Our long-term growth plan targets 120,000 tonnes of LCE equivalent capacity in place by 2027. We expect Phase 2 completion to take place by 2026, and then a further expansion with the third industrial line, we call it Phase 3 by 2027. All of the 3 lines can leverage upon our current infrastructure in place to support our Phase 1 industrial plant and mining operations. So this scalability positions us to lead what is expected to be one of the largest and most environmentally sustainable lithium companies in the world, the perfect example of a protagonist in the energy transition with the benefit of scale and developing advanced green technology. This is what we've built at Sigma. Over the past year, we transformed Sigma Lithium into a leading producer, resilient through market cycles with significant volatility. We have reached our cost guidance. We have maintained operational discipline. We've increased our mineral reserves by 40%. We have advanced on our Phase 2 expansion, and we have secured subsidized transformative financing from the Brazilian Development Bank, BNDES. As we move forward, we remain committed to growth, sustainability, delivering value to all of our stakeholders and lifting the people in our region. We will now open for questions, and I'm going to be joined by my 2 partners, Felipe Peres, our CFO, Executive Vice President of Administration, Site Operations and Finance; and Anna Hartley, our Vice President for Investor Relations and Global Banking.
Operator: [Operator Instructions] The first question comes from Mr. Joel Jackson from BMO Capital Markets.
Joel Jackson: Can you hear me now?
Ana Cabral-Gardner: Yes, I can hear you perfectly well.
Joel Jackson: Let's talk commercial a little bit. So should we expect your inventories to normalize at the end of Q3, so you're going to sell your excess volume? And it seems like in your prior 2 quarters, you disclosed that IRH was your #1 trader of your product. You don't have that disclosure this quarter. Can you talk about your trading relationships, if they've changed, if that was part of the strategy across Q2 to warehouse inventory?
Ana Cabral-Gardner: Absolutely. We've been diversifying our trading relationships further and further. We've basically now commercialized material with large trading companies and large downstreamers from all over the world. We've had new trading companies stepping in to become our clients throughout the second quarter, especially as price volatility increased. And we have maintained the discipline of just selling product using our standardized provisional price conditions, which as we have mentioned on the call, have paid off handsomely, boding well for the lithium price recoveries we are experiencing now in the third quarter. So what we have done, the summary is diversification. We now have an array of trading partners that are willing and ready on the back of the strength of their balance sheet to finance our operations, especially given the price volatility that we experienced in the second quarter. As far as the inventories, which is the second part of your question, the situation is normalized, as you can see from the cash bridge when we've shown the receivables. It happened essentially during a very volatile few week period that we lived through in the previous quarter that we all remember but we would like to forget, where we were not striking agreements to our standard policy, whereby we have an upside sharing when our trading clients resell their product. So that if we had sold that material at that period, we would not be able to benefit from the current lithium price cycle. So we held back, given that we had the financial capability to do so, and that was quickly normalized after the cutoff date for the quarter as we've shown in the cash flow bridge.
Joel Jackson: Okay. So we should expect sales in Q3 to be 85,000, 90,000 tonnes. Is that right, something in that range?
Ana Cabral-Gardner: They will match -- they will be closer to production. So typically, we don't have the policy of holding back inventory. It just happened given the, let's say, out of the ordinary conditions that we lived through during the second quarter as a result of mostly factors way outside of our control.
Joel Jackson: Sorry, I'm confused. Sales will be production plus another 25,000 or 28,000 tonnes in Q3?
Ana Cabral-Gardner: Yes, absolutely.
Joel Jackson: Okay. And just my last question before I pass the baton here. Ana, you've been talking about prepayments and offtakes for many, many months. You've been traveling the world. You've been talking to people, trying to sign these deals. I think a lot of people thought you would have signed this already, signed some of these already. You haven't. Talk about why you haven't been able to get pen to paper. What's been the pushback on both sides or what's going on?
Ana Cabral-Gardner: Well, we have quite a number of parties that have engaged with us. We're now negotiating definitive documents. So we have adopted a very strict directive here where we're going to announce the transaction once the definitive documentation is completed and signed. We're not planning to announce term sheets of any nature, binding, nonbinding or not. So this is why we felt comfortable to putting the value to the transactions. And just sort of to give you a recap of the mathematic on the deals, and that's a very good question, actually. When you think about current market prices at around $950, $960 or even $900s, the implied price for the prepayment, again, this price is not locked. It's currently sitting at $833. It's very easy to ascertain how you get to this. For example, if we talk about an 80,000-tonne commitment for 3 years, we would be committing 240,000 tonnes of product. These industries typically have the iron ore mathematics where you divide that commitment by 2. So that is 120,000 tonnes of product committed. When we say on that page in the presentation that these agreements are worth $100 million, it had an implied prepayment price of $833, well below even current market prices. So as time went on and markets have recovered, our prepayment negotiations have become very much of a win-win, especially for our counterparties, which demonstrates, let's say, the willingness of our counterparties to advance these discussions. So we are very well positioned to announce prepayments in short order. Again, we will announce definitive documents.
Operator: The next question comes from Mr. Armando Wolfrid from [indiscernible] Could you please explain expected consequences of the U.S. tariffs on your business, if any? And any plans to refine lithium to increase margin and help lower reliance on China?
Ana Cabral-Gardner: Well, we have a diversified customer base. To your point, China today refines most of the lithium chemicals that are utilized by PCAM and CAM, meaning precursors and cathode producers globally. However, our clients, I mean, the accounts receivable of our company are extremely diversified because we do not necessarily sell to refiners. As far as the refining business, we are adopting a wait-and-see approach in terms of that business. As it is widely known, that business currently has negative margins. So you would be margin decretive to the industrialization of lithium oxide materials that we conduct in Brazil in this beautiful plant you can see in the background.
Operator: [Operator Instructions] Our next question comes from Mrs. Katie Lachapelle by Canaccord Genuity.
Katie Lachapelle: You walked us through the different provisional pricing adjustments that you're expecting to see in Q3. Can you give us any context on how many tonnes are still open to provisional pricing on a go-forward basis? And then in the contracts that you're negotiating, will provisional pricing continue to be a theme?
Ana Cabral-Gardner: Yes, we -- provisional pricing became a permanent feature of our business. So when you think about the sales that we executed throughout the year, all of them were conducted on a provisional price basis. So when you look at our sales book, what we've shown is the average of the second quarter provisional price and the numbers were on the presentation. If you further average it out with the first quarter book, we still do not even reach, on a net basis, $700 adjusted for grade, which again positions us very well for the upside in lithium prices that is expected -- that's already happening in the third quarter. That was a deliberate strategy as we basically began the year with a very volatile lithium price behavior resulting from elements completely outside of the industry, mostly resulting from sentiment around tariff discussions and tariff impacts in our industry. So we'll expect to see a positive -- a very positive adjustment into the third quarter and into the fourth quarter financials. The contracts have a drop-dead date for execution. And our first drop-dead date begins on September 30, continues into October 30, November 30 and December 30. And I think it's a very good question because it's important to highlight that what we're hoping to achieve by establishing now drop-dead dates is to have our client resales, meaning we sell, they resell, we share the upside, common feature of the industry, but we expect the resales to take place within the year so that these effects are now observed, achieved within the fiscal year of 2025.
Katie Lachapelle: Got it. And then maybe a follow-up on Phase 2. I don't think anyone is surprised to see a more disciplined approach to when that production is coming online and you're now projecting 2026. Can you give us any guidance into when you're expecting the commissioning to take place in 2026? Is that going to be front-end weighted or perhaps later in the year?
Ana Cabral-Gardner: It will be probably mid to third quarter of 2026 later in the year. It will depend on whether the current price recovery holds. What we've done, though, we do not stop because as you've seen, you've been there a few times, we have a high strip ratio on our Mine 1. And Mine 1 will feed Plant 1 and 2 for the first year. So what we've done, we redeployed the CapEx for construction into Mine 1, which helped us maintain plant gate cost. It helped us lower overall costs. So we basically decided that CapEx for Phase 2 now needs to be translated into an immediate return either for current infrastructure that will help feed Phase 2 or help support Phase 2, or current mining operations that would also feed Phase 2, which is exactly what we did, meaning a more immediate return for CapEx deployment. And if the project in question, I mean, if the request for deployment does not meet that criteria, we simply do not pursue it.
Operator: Our next question comes from Chris Dix by Brahman. Can you provide me the team's comments on recent price action? How do you see market developments over the next 12 months? And what are Sigma's price expectations?
Ana Cabral-Gardner: Lithium, there's never a dull moment in lithium and I don't see any other possible way to answer your question. What we've experienced this quarter was a very sharp recovery. And it happened on sentiment. Putting into context, the main driver of prices now is the GFEX futures market in China for lithium chemical prices. Now what is interesting is that, that market trades a day about 300,000 tonnes of LCE, yes. So in a day, there's the equivalent of 1/5 of global demand being traded. So it is essentially a paper market not backed by physicals of either nature, which just shows how susceptible to news and susceptible to sentiment the market has become. And as a result, I think to your point, as we entered August 11 this week, we saw a very sharp price increase, very sudden, basically a result of news of mine closures, which weren't even attached to volume but they were attached to an overall concept of there is a limit to loss-making within the supply chain. So the less profitable operations were being closed off and that provoked an immediate reaction in the market. I'm just trying to give you a context to your question. In which way, it's now expected from market participants in Guangzhou, where this futures market is located, where GFEX is located, that the bond of RMB 80,000 for lithium chemical prices may hold and may hold throughout the quarter, given that with the closure and the news that certain operations were not able to profitably withstand the second quarter lithium price environments where lithium went as far down as RMB 60,000 per tonne for chemicals, we expect that RMB 80,000 per tonne of chemicals to hold, which translates kind of on and around the levels of sales that we have been experiencing currently in the industry on and around between USD 900 and USD 950 per tonne of lithium oxide concentrate. We do not see further upside for this year, but we wanted to highlight to the listeners of the call the nature of volatility on GFEX, given the volume of what we call paper contracts if compared to actual demand in the industry.
Operator: Ladies and gentlemen, without any more questions, I am returning to Mrs. Ana Cabral for her final remarks. Please, Ms. Ana Cabral, you may proceed.
Ana Cabral-Gardner: I would like to reiterate my gratitude to all of you listening to the call, supporting us throughout all of these years and essentially expressing optimism because we do believe that markets have now normalized in terms of fluctuations of pricing being a little bit closer to the supply-demand dynamics we've been observing in the industry. EV growth has not receded, as all of you know. The latest year-on-year annual changes have been on and around 27% coming from mainly China. So demand is extremely robust, and we expect that to translate into a more stability and less volatile pricing environment for all of us industry participants. Thank you so much for being part of this call. Thank you so much for entrusting us with the company.
Operator: Thus, we conclude the second quarter of 2025 conference call of Sigma Lithium. For further information and details of the company, please visit the company's website, ir.sigmalithiumresources.com. You can disconnect from now on. Thank you once again.